Operator: Welcome to the Gaylord Entertainment Company's First Quarter 2009 Earnings Conference Call. Hosting the call today from Gaylord Entertainment are Mr. Colin Reed, Chairman and Chief Executive Officer; and Mr. David Kloeppel, President and Chief Financial Officer. They're also joined by Mr. Mark Fioravanti, Senior Vice President and Treasurer, and Mr. Carter Todd, Executive Vice President and General Counsel. This call will be available for digital replay. The number is 800-642-1687 and the PIN number is 93662682. At this time, all participants have been placed on listen-only mode and the floor will be open for your questions following the presentation. It is now my pleasure to turn the floor over to Mr. Carter Todd. Sir, you may begin
Carter Todd: Good morning. My name is Carter Todd, and I am the General Counsel of Gaylord Entertainment Company. Thank you for joining us today on our first quarter 2009 earnings call. You should be aware that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 including statements among others, regarding Gaylord Entertainment's expected future financial performance. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, words such as believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors among others, set forth in Gaylord Entertainment's filings with the Securities and Exchange Commission and in our first quarter 2009 earnings release. And consequently, actual operations and results may differ materially from the results discussed or projected in the forward-looking statements. Gaylord Entertainment undertakes no obligation to update publicly any forward-looking statements whether as the result of new information, future events or otherwise. I would also like to remind you that in our call today, we will discuss certain non-GAAP financial measures and a reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures has been provided as an exhibit to our earnings release and is also available on our website under the Investor Relations section. At this time, I would like to turn the call over to our Chairman and Chief Executive Officer, Colin Reed.
Colin Reed: Thank you, Carter. Good morning and welcome to everyone. Thank you for joining us today to discuss Gaylord Entertainment's first quarter 2009 financial results. As always, I will begin our conference call with an overview of our business in the first quarter and then give you some thoughts for the rest of 2009. Our President and Chief Financial Officer, Dave Kloeppel will then provide more color on the company's financial performance in the quarter and then discuss the outlook for the rest of the year. And then as is our practice, we will then open up the phone lines for questions. We are acutely aware of how difficult an economic environment we have been operating in during recent quarters. And the first quarter of this year proves to be the most challenging thus far. As an industry, the hospitality sector has been hit particularly hard, according to Smith Travel research, Q1 RevPAR was down 20% for the quarter in the U.S. And companies across the hospitality sector continue to report declines in occupancy and very weak estimates for the remainder of the year. Our business was not immune to the pressures of these challenging economic conditions. As you saw in our release this morning, occupancy across same-store property has dropped 16 points as a result of the increase in large corporate group cancellations and attrition. In fact, we saw in the last few months of 2008 and in the first quarter of 2009, cancellation and attrition levels that we haven't seen since just after the events of 9/11. All across the nation, companies and organization/spending stimulated in large part by the economic meltdown. And in some cases bowing to the increased scrutiny and rhetoric around spending on meetings and travel. Many of these organizations became particularly frightened in November and December of last year canceling events as close in as January and February of this year. As a result, we saw a 22% decline in same-store RevPAR and an 18.6% decline in same store total RevPAR. While we experienced a significant number of cancellations, we also collected a significant amount of cancellation and attrition fees, providing some protection for our bottom line results. In the first quarter, we collected $7.6 million in cancellation and attrition fees, more than four times the $1.8 million we collected in the first quarter of 2008. I would remind all of you again that we only book cancellation fees when we collect them. So not all of that first quarter cancellations have yet settled. Although our same-store CCF performance was down 32.2% compared to the same period last year, our results reflect a solid margin of 26.2%. And if you add back the severance cost, their margins would have been 28%. While the cancellation and attrition fees we collected cushioned the impact that lower occupancy levels had on our business, the solid margin performance that we delivered in the first quarter was largely the result of that continued focus on aggressively managing our costs as demand declined. So, what are our thoughts on the rest of the year, while we are seeing some signs of stabilization in demand, we will continue to aggressively manage our business certainly through the rest of 2009 as if there is no economic recovery. Therefore, as we did in the first quarter, we are focusing our efforts on three primary initiatives. One, driving revenue in 2009 and 2010; two, improving operating efficiency even more so. And three, further improvements at Gaylord National. Now let me provide some additional color on those three bullets. First, from a revenue perspective and as we discussed in our last call in February, we have redeployed our sales and marking resources to focus their efforts on short term revenue generation, specifically for 2009 and 2010. That is not to say we are ignoring booking opportunities for 2011 and beyond. Long term group bookings are important part of our yield management strategy. And in fact, we continue to see our pace for 2011 and 2012 attract a favorable rate to historical averages. Instead, we have realigned the production goals and compensation structure of our sales bucks to ensure that incentives are achieved only when 2009 and 2010 booking goals are satisfied. In addition, we have launched a number of new marketing programs and initiatives targeting small and mid-sized meetings that booked and traveled within an 18 month window. These assets are producing results as we have seen our gross bookings for 2009 would have been contracted for during the first three months of this year, pacing at a level consistent with historical averages, despite economic conditions in which you would expect bookings to be substantially depressed. In addition to our group efforts, we have expanded our marketing programs to attract transient business to fill need periods created by increased cancellations and attrition. Through sensible '09 offerings and creative packaging, we have grown our presence in the transient market, expanding the awareness of our hotel brand. Second, as I mentioned earlier in the call, we are reducing cost through greater operational efficiency and by consolidating our management structure. Last year, we embarked on a detailed review of our entire organization and developed a cost reduction plan tied to various levels of demand. In late 2008, we implemented initial cost reduction activities that total approximately 5 million in annual savings. As the New Year arrived, it was clear that things were going from bad to worse in the economy. And fortunately, our pre-planning allowed us to swiftly reduce operating cost even further. In early February, we instituted a second phase of cost reduction initiatives as we described to you in our most recent earnings call that totaled approximately 30 million annually. This has had an immediate impact on our business and we saw a steady improvement in operating margins each month in the first quarter as a result. Given the fact that the economy shows little sign of improvement, we are moving forward with the next phase of cost savings that would delivered approximately $10 million of additional annualized cost reductions. We will see the results of these initiatives beginning in our second quarter financials. While we are confident that we can continue to streamline our operations without compromising guest satisfaction, we believe it is prudent to take more operational risks to ensure our forecasted levels of cash flow are not compromised. Our third area of focus is the continued ramping up with Gaylord National. Obviously, it takes time for a hotel of this size and scope to fulfill its potential. But the property performed well in this quarter despite a difficult environment and we remain excited about its prospects. Despite development delays at the National Harbor Complex, the property posted solid revenue results, good occupancy levels and solid margins. The National delivered 61.8 points of occupancy, roughly 15 million in consolidated cash flow and a 26.3% margin. We are confident that the momentum built in the first quarter will continue through the rest of 2009. From a balance sheet perspective, we will continue to be miserly with our capital spending. And we will take opportunities as appropriate to delever the business. I will let Dave provide more color on this, but our liquidity position is very solid. Additionally, the poor market afforded us an opportunity to continue to selective repurchase some of our senior notes are very attractive yields. We will continue to look for opportunities to buyback our bonds as appropriate. In terms of future development projects, we continue to make progress on our long-term plans for hotel and convention center in Mesa, Arizona. However, the project is still in the very early stages. And given the current market, we feel it is prudent to hold off on any material financial commitments instead of in the near term. Furthermore we will continue to hold off on our expansion plans in Nashville, in Dallas and in Orlando. Regarding guidance for the remainder of 2009, it is difficult to predict how long this current environment will last. As I said earlier, while we are seeing signs of stabilization we will continue to adopt a very deliberate and conservative approach to our business. While we hope they do not, we are planning for levels of cancellations and attritions that we experienced in the early part of this year to continue for the remainder of 2009. As a result, we are reducing our guidance for 2009 RevPAR and total RevPAR. And as we have to date, we will continue to pursue cost reduction opportunities and remain diligent in our collection and cancellations and attrition fees. However, we believe it is appropriate to modestly reduce our CCF projections for the remainder of the year. Our focus for the rest of the year is to aggressively grow revenues and manage cost so that we can maximize free cash flows. And to remind all of you, if we hit the low end of our revised to '09 guidance because of the curtailment of our capital plans, we will produce approximately $80 million of free cash flow which we will use to reduce debt. If the markets get worse or if additional anomalies are thrown in our way we are confident that we have the right plans in place and we can pull the right levels to successfully deal the issues as they come. Warren Buffet referred to this financial meltdown as our country’s economic equivalent of Pearl Harbor. What we are experiencing is unprecedented, but I believe we at Gaylord are positioned to perform well in the short term and be in very good shape once we emerge from this awful mess. So that we are able to extract the opportunities that will undoubtedly be before us. And with that I would like to turn the call over to Dave to go through the details of our financial results and guidance for 2009. David?
Dave Kloeppel : Thank you, Colin. Good morning, everyone. As I have done in the past, I am going to discuss the financial performance of our business during the quarter and then take you through some of the highlights from the results for each of our properties. I will then provide you with some additional color around what we are seeing for the rest of '09. From a consolidated basis, Gaylord Entertainment performed inline with our expectations in the quarter, achieving CCF of $39.1 million despite the deteriorating economy. CCF in the quarter included $6.3 million of severance costs and other costs associated with the revaluation of potential property contents. As Colin has discussed, the first quarter of 2009 was difficult across the industry with US RevPAR declining 20%. Gaylord hotels same-store properties also faced significant headwinds during the quarter and experienced a RevPAR decline of 22%. This revenue decline was slightly more than expected and result of some of the cancellation and attrition levels that continued to accelerate in February and continued in March. As a result, same-store occupancy declined 16 points as large group cancellations rose to elevated levels and attrition increased to 16.7%. Group ADR was relatively flat since most of these room nights were contracted several years ago and were now subject to the current economic conditions. Transient ADR was down as a result of the pricing pressure from discounting that emerged as competitors tried to fill short-term availability. Despite the higher than expected same-store RevPAR declines, our total RevPAR declines of 18.6% was inline with our expectations. We were able to perform within our total RevPar expectations as a result of the attrition and cancellation fees we collected. During the quarter, we collected about $3.1 million in attrition and about $4.5 million in cancellation fees across the brand. And to put some of this in perspective, the attrition and cancellation fees we collected in the first quarter represent about half of what we collected in all of last year and more than four times what we collected in the first quarter of 2008. Same-store CCF of $37.9 million was in line with expectations and included severance costs of about $2.6 million. Our CCF performance was driven by the diligent collection of attrition and cancellation fees coupled with the aggressive management of our costs, that Colin reference earlier. These efforts resulted in a 26.2% CCF margin, a solid margin in a tough economy, but it’s important to note that if you exclude the severance costs, our same-store CCF margin was 28.4%. So despite lower occupancy and revenue levels, flow through remained quite strong. Now let me quickly walk through the performance of our individual properties starting with Opryland. The first quarter produced a very difficult environment for Opryland. The property generated revenue of $54.5 million in the quarter compared with $73.6 million a year-ago. A 17.7 point decline in occupancy was primarily driven by large group cancellations and attrition in the corporate segments. It’s important to note that this quarter is in comparison to an exceptionally strong first quarter last year and Opryland in the first quarter, their CCF decreased 56.5% to $9.3 million, and most adversely impacted by about $1.4 million in severance costs. Now looking at the Palms in Florida; in the first quarter, occupancy was down to 68.8% for the quarter. Group ADR was flat but transient ADR declined due to pricing pressure of the competitive Orlando markets, which has been hard-hit by the current economic challenges. Despite a 15.7 point decrease in occupancy, aggressive top management at the properties resulted in strong CCF margins of 34.8%. The property achieved $16 million in CCF in the quarter compared to $20 million in the first quarter of 2008 and CCF in 2009 was adversely impacted by about $700,000 in internal stock. As for the Texan, revenue was $42.4 million in the first quarter of 2009 a decrease of 12.2% from $48.3 million in the prior year quarter and the occupancy declined 15 points to 61.2%. While the property was able to drive a $1 increase in ADR and occupancies declined, total RevPar declined at 19.3%. Again aggressive cost management of property produced CCF of $12.4 million in the quarter compared to $14.1 million in the first quarter of '08. And once again, CCF was adversely impacted by severance costs this time by about $0.5 million. The CCF margin that Texan was able to produce in the quarter was 29.2%. And finally to the National, as I mentioned, the National delivered a strong first quarter consistent with our expectations as guests and meeting partners continued to embrace our newest property as a destination of choice. During the quarter, the property achieved customer satisfaction scores on par with the industry leading levels we achieved across our same-store portfolio. Occupancy for the quarter was 61.8% and coupled with a strong ADR of $225.61, the property achieved RevPar of $139.33. CCF was $14.8 million for the quarter resulting in a 26.3% CCF margin. Turning to the balance sheet, our liquidity position is solid and so we have no long maturities until 2012. And we are taking steps to opportunistically delever our balance sheet. During the quarter, we used available cash in our revolver to purchase some of our 8% and 6.25% senior notes at attractive yields. As of the end of March, we purchased 59.9 million in face value for $43.6 million and we recorded a pre-tax gain of 16.6 million in the quarter. We continue to rash in capital for any actions related to future development or expansion programs on hold. As we believe it’s prudent to wait for further tangible signs of revival from the market before making these types of commitments. We have no significant capital commitments other than maintenance for the foreseeable future and our focus is to maximize free cash flow and right now we believe that the best thing to do with that cash is to reduce indebtedness. As we look toward the rest of 2009, we expect the challenging business environment to persist at the very least through the end of the year. While we are steadily booking business on a gross basis, our efforts for 2009 have been offset by a large volume of cancellations and attritions. However we are seeing some positive signs of stabilization; for example, some meeting planners who had previously canceled programs for 2009 and 2010 are beginning to consider adding meetings back. And 2010 bookings even that of cancellations have grown stronger since early in the year. There is a sense of activity returning to the sector. With that said, it’s too early to tell how or when this will impact our bookings or revenue in a meaningful way and we are therefore planning for the business environment to remain unsteady and for the elevated levels of attrition and cancellation that we saw in the first quarter to continue throughout at least the remainder of this year. As a result, we have lowered our RevPAR and total RevPAR guidance from a decline of 9% to 12% to a decline of 15% to 20% for RevPAR, and 13% to 18% for total RevPAR. As Colin has outlined, our internal cost analysis over the past 12 months has positioned us to manage our cost appropriately in this challenging environment. We are ready to implement additional cost initiatives if business volumes continue to deteriorate in order to maximize our cash flow. Nevertheless, we believe it's prudent to modestly reduce our same-store CCF and Gaylord National CCF by $5 million each to a 155 to 165 for the same-store hotel and 55 to 65 for the national. In closing, we are acutely aware of the challenging market conditions evidenced by a reduced occupancy and revenue levels this quarter. However, our performance this quarter also improves in our model coupled with aggressive cost management to produce solid margins and CCF results even in a very, very difficult environment. As we move through 2009, we will continue to focus on generating short-term revenue through small meetings and transient guests. We’ll focus on the aggressive collection of attrition cancellation fees and a continued streamlining of our cost structure and the prudent management of our balance sheet. And with that, I am going to turn the call back over to the operator to begin the Q&A session.
Operator: Thank you. (Operator Instructions) Your first question is from the line of Chris Woronka with Deutsche Bank.
Chris Woronka - Deutsche Bank: Good morning, guys. I was hoping you can maybe just give us a little bit more color on the forward bookings number you put in the pres release. I know first quarter was not a great business environment. I am just kind of curious as to how those bookings fell, maybe if you have seen any changes subsequent to the end of the quarter? Thanks.
David Kloeppel: Yeah, Chris, as we described on our call back in February, we really reoriented our sales force and adjusted our deployment and adjusted our incentive programs to focus them on shorter term bookings. And so as a result, we are not as focused on booking kind of four years out and beyond kind of bookings because as we look right now, not intend where the need is and '11 and '12 phase has had an attractive rate relative to where we are for '09 and '10. So, as you look at the bookings and you see the bookings are down, our gross base is about 35%, that decline for 2009, 2010 were basically flat for '09 on a gross basis and we are up a little bit for '10 on a gross basis. The declines in bookings really are for those four year down and beyond. What we’ve also seen is during the quarter, if you look at January, February, March, we had a steady improvement as we compare ourselves to January February March of last year and those gross and net bookings each month. So January was a very, very difficult month. February got marginally better, March got marginally better on a gross or net basis. So, we’re seeing slow signs of improvement as we’ve gone through the year.
Colin Reed: Yeah, I will just add a little bit of anecdotal support to what David just said. Over the last month and half, I’ve spent a lot of my time with customers and meeting planners, and trying to figure out in their minds what is -- when are they going to start moving their customers back into our establishments. The problem has been, Chris, over the last four-five months, corporations have just been absolutely frightened about how bad this economic mark down can get. And what meeting planners are telling me is businesses aren’t going to change their behavior prospectively, they are going to meet, they believe it's an important thing to meet, and that all of the meeting planners and their clients are looking for signs of stabilization. So my view would be that there will be a kind of pent-up demand here that hopefully over the next six-nine months we are going to see releasing back into this sector. So I am actually pretty happy with the level of business we booked in this first quarter because I've been in this business 30 years and I have never seen anything like what we have experienced here over the last three to four months. And I am actually pleased that we booked a total of 300,000 room nights in this shocking environment.
David Kloeppel: And we have the luxury of having a solid pace for, years out in the future. So, as a result, we are trying to be thoughtful and selective about the bookings we take for those periods, because it's a difficult environment out there and meeting planners are trying to use every counted levers they can to [inaudible] out years.
Colin Reed : Yeah, and you didn’t ask this question. One other things that I am also pleased with is that we held steadfast in 2006 to 2007 dealing with the association market, we got a little bit of flat from the analyst community as to why our RevPARs weren’t growing at the same rate that some of our competitors were focused on the corporate side of the equation, but I am so happy that we've come into this period in time in '09 and '10 with a solid book of association business which is really creating a very strong, solid platform for our company.
Chris Woronka - Deutsche Bank: Great. That’s very helpful. And just one quick follow up. Is it fair to say that very high percentage of your cancelled are for '09 and '10, is that right?
David Kloeppel: Yeah, that’s correct.
Colin Reed : Yes, that’s actually bottom receivable cancellation. Your answer to that question is yes. We received two or three in '11 and '12 from the same folks that may have cancelled for '09 and '10, but by and large, its '09 and '10.
Chris Woronka - Deutsche Bank: Okay. Thanks.
Colin Reed : Thank you.
Operator: Your next question is from the line of David Katz with Oppenheimer.
David Katz - Oppenheimer & Co.: Hi, Good morning. I apologize if I’ve missed this because we are jumping back and forth this morning. Can we talk about a realistic target leverage level for the company and then I have one other -- a timeline for getting there, if possible? And then I have one other quick question.
Colin Reed : You know, David, I think as we went through, I guess, cycle back to about five years ago when we did our notes offering, you know, our target leverage level on a kind of a sustained basis was to be in kind of 4.5 to 5 times range. And that was what we marketed at the time of our bond offering and that was where we were prior to the completion of National and prior to the economy kind of shutting down on us. We are about 6.7 times on a total debt to CCF basis right now at the end of the first quarter. We are focused on getting ourselves down below six by the end of the year, and to the extent we can continue to manage the business aggressively, we should be back in those five type ranges during 2010.
David Katz - Oppenheimer & Co.: All right, sorry.
Colin Reed : And if the appetite for the type of bonds we own on our Washington project open up, or we are able to get those off on balance sheet and use that to repay our debt, we will do so.
David Katz - Oppenheimer & Co.: All right. Okay. I think I am actually good for right now. Thank you very much.
Colin Reed : Thank you.
Operator: Your next question is from the line of Jeff Donnelly with Wachovia.
Jeff Donnelly - Wachovia Capital Markets, Llc: Hi, good morning, guys. I guess following up maybe to one of Chris's comments, Chris's question maybe this is a tough question a part statement in time is that, is that each quarter we do see something about, I guess the unique presentation around growth in that bookings data from you guys on forward bookings, but frankly there isn’t much comparability overtime or consistency delay it's presented, so truthfully something in the loss, how to incorporate that in analysis. Can you shed some light on how we can be incorporating the bookings data that you are sharing with models, but let me also recommend any in the future period perhaps you guys provide some consolidated data in the layout of your future booking by either by year or the function around future cancellation and attrition rates you are using, and if you are able to -- some detail around the bookings related to each hotel?
David Kloeppel:  Long statements, last question. The challenge with the booking data from the perspective of discussing with the investment community is the numbers can bounce around fairly materially within booking windows. So, if we were to start to say bookings for T plus four [ph] meaning 2010 are up x% in one quarter, they may show a very different comparison in the next quarter and we're trying to eliminate the kind of natural get through reaction that people might have to those type of changes for the business in total [but still it won’t be]. I think if you want a more detailed kind of review of how to model attrition and cancellation levels, that’s probably more appropriate for us to take you through off-line and we’ll be happy to take you through that and take you through what we've seen historically from an attrition and cancellation perspective because we want you to be able to model the business as accurately as we believe that we can. So…
Colin Reed : And let me just add to this Dave. I mean one of the things that we've consistently said over the years to the investment community is we throw a lot of statistics out and these are also benchmarks for our folks to be able to measure the health and long-term viability of the business. We've said consistently that we need to book about 1.3 million rooms in some of our same-store. We need to book about 350,000 room nights on Washington to accomplish this 60ish point, 60 points of group occupancy and so we've historically said that and so that’s why we're very transparent by showing how our quarter-by-quarter pace of group bookings are going because if we do that, if we do that 60 points of group business that we aim and we've set that goal internally to accomplish and we break that down by the way of association and cooperation. And then the other delay on that, the transient side of that business, we want to earns 80 points above and that’s what we’ve historically said. So Jeff, David is right, this is lumpy, it is different from quarter-to-quarter. We always tend to have -- the fourth quarter tends to the big quarter for us. But it's really just -- we share this information with you just so you have yet another bench mark because of the unique combination of the mix of business.
Jeff Donnelly - Wachovia Capital Markets, Llc: No, and thank you, I appreciate that it is a certainly lumpy business and I think I understand your intend to provide additional color and transparency and highlight. I think that most people believe is while the increase, usually into your stickiness that you wrote for your bookings of revenue, but the volatility nevertheless and the numbers are -- from differently ways represented overtime definitely, but actually Colin I want to follow-up, in your comments I think you mentioned that you would be proceeding with the handful of expansions. Is there some portion of the forward bookings if you look at the term wise pipeline of forward bookings is actually tied to those expansion projects such as delayed or canceled there?
Colin Reed: No, we basically stopped taking bookings on our three expansions six months and 9 months, about a 6, 9 months ago latter part of last year. We shut down any availability that would be conditioned on new supply in any of those areas.
Jeff Donnelly - Wachovia Capital Markets, Llc: Are you finding that instead of getting aggressive on say collecting cancellation or attrition fees, you are finding that to be competitive, the result is out there maybe you have waive those or apply to new deposits for future bookings in 2010 beyond?
Colin Reed: Well, it doesn’t work that way. We have this contract and we sit with the clients and we say irrespective of what company ABCDE is doing, we have this agreement and three years ago, we set aside our hotel not to book because you wanted the space and this is what you owe us. Now I will tell you, we do get into these debates with our customers about look, we are scared to death right now because of this environment. We would like to quote, rebook come off in the first quarter of this year, to come late this year or early next year and we will sit down with those people and work with them. If the person [inaudible] canceling, we pursue those cancellation fees and attrition fees in earnest. When the company actually comes and shows up with 20% less than they should have done, we pursue those in a, we don’t use what brand A or brand B or brand C is doing as Franklyn excuse to relieve the customer.
Jeff Donnelly - Wachovia Capital Markets, Llc: And just last question, as I know it's a smallest segment of your business, but what's been the early success in trying to pick up market share in the transient business, is there way you can measure that for us, I guess for some Travel start penetration or?
Colin Reed: Yeah, our room nights, Dave, have you got that transient sheet that we went through, too much in the package, but our transient business is holding on pretty well. In most of our hotels, it's at last year's level or above. And we have done this by becoming a lot smarter on the electronic side of dealing with the transient customer. We've got people dedicated to opening up all of GDS and the OPEC sites that are out there. On a 2008 same-store basis, Mark this is first quarter, yes, till '08 we, in a same-store basis, we booked 61,000 room nights. We actually incurred 61,000 room nights. For the transient business in the first quarter of '08 and to '09 we were 62,000. So we were up quarter-over-quarter which is frankly what we believe is pretty impressive. On the National, we booked, we obviously were in business in National in the first quarter of last year, we booked over 12,000 transient room nights in the first quarter of 2009. And we are seeing our core volumes in National on the transient side continue to strengthen.
Jeff Donnelly - Wachovia Capital Markets, Llc: That's great, thank you.
Colin Reed: Thank you, Jeff.
Operator: Your next question is from the line of Will Marks with JMP Securities LLC.
Will Marks - JMP Securities LLC: Thank you and good morning Todd, good morning, David. Just one final question on the future bookings, can you talk about the rate, should we expect rate to grow, do you have to bring rates down in this type of environment for 2011, 2010?
David Kloeppel: Well, bookings for '09 and '10, we are still seeing price pressure on those bookings. And the closer you are to the booking windows and more acute the price pressure is. So bookings for '09 versus -- in the full year we are seeing more price pressure than we are for '10 as an example and we will certainly see more for '09 and '10 than we are for '11 and '12 and beyond. Part of our strategy as we described in delays that we reoriented the sales force was a recognition that because we are in difficult marketing environment, we are going to have to convert a larger percentage of the belief that we see from a sales perspective and we are probably going to see price pressure in smaller, relatively smaller groups, because we have a good book of business until '11 and '12, we said, let's not ignore '11 and '12 but let's really focus everybody on '09 and '10. And let's take business for '11 and '12 more selectively, so, that’s the strategy we have undertaken.
Will Marks - JMP Securities LLC: Great.
Colin Reed: Will, Colin, let me just add to this. I would say this is one of the most debated internal subjects that we have right now. I mean, there are a lot of things that we are working on, but I would say that our full pricing strategy for '11, '12 and '13 is a hotly debated topic. And you know, Dave’s and my preferences to not book business at low rates in this periods of time, out in the '11, '12 and '13 because we saw the consequences of just that strategy from that sales organization and our operational leadership in 2002, and what it did in 4, 5 and 6 with the business, as the business recovered and demand picked up. There was some periods of time where we were dealing with contracts that were very low rated. So, we are holding steadfast on that rate strategy for '11, '12 and '13.
Will Marks - JMP Securities LLC: Okay. Thank you. Another question on cost savings, you quantified that in the press release and on the call. Can you talk about how that impacts 2010 with some of it is still over, you know, should we expect the corporate overhead to be dropping in 2010 versus 2009? 
David Kloeppel:  Yeah I would think the answer to that question, I am just trying to think through the math. The answer is it will, if we do normal cost savings other than the $10 million that we referenced this morning, our overhead should be marginally below 2009, but again it really depends on how quickly the economic recovery comes back as to whether we add money back into some of that marketing programs to take advantage of a burgeoning economy, but not all of these cost savings will be annualized in 2009.
Will Marks - JMP Securities LLC:  Okay. And can you tell us what percent would come from below that hotel line. It was more in the corporate side, how much of that $35 million or even including the next ten?
David Kloeppel:  Well, we adjusted our corporate CCF target down as of last guidance that we did back in February, that contemplated some of the $35 million coming into the corporate line. We should see some additional benefits from that and from the additional payment Colin referenced earlier. As we look at the cost savings, as the 35 and the 10 that's an assessment of overall SG&A. We just have to report our SG&A differently than some of our peers may and we break it out into, SG&A to reside at the hotel, at the hotel and we keep SG&A that resides outside the hotel in this corporate department, so as you look at that $45 million in total, that $45 million in total will go to reduced SG&A across the Company. And should bring our SG&A costs down fairly significantly and irrespective of whether it's in hotel or in that corporate line item.
Will Marks - JMP Securities LLC: Okay that makes sense, couple of other quick things. Maintenance CapEx, you mentioned that’s your only CapEx, what should we expect the range for that to be?
David Kloeppel: CapEx for this year?
Will Marks - JMP Securities LLC: Yes.
David Kloeppel: Around $30 million maybe $35 million
Will Marks - JMP Securities LLC: Okay and then last question. I think you've mentioned that maybe it's obviously the roughly $6.3 million that of costs during the quarter or I guess of charge your special expenses related to severance and other costs is that included in the lower guidance?
David Kloeppel: No it's not. It was not in the earlier guidance.
Will Marks - JMP Securities LLC: Okay so it is not included in lower guidance. Okay great thank you.
Operator: Your next question is from the line of Kevin Milota with JP Morgan.
Kevin Milota - JP Morgan Securities, Inc: Hey good morning guys, hoping to talk a little bit about the stabilization in demand maybe provide some more detail on where specifically you're seeing if it's by hotel or within different group types or what exactly are you seeing from the demand standpoint?
Colin Reed: Well first we're seeing a little bit of slowdown in the pace of cancellations but that tends to be in the corporate sector. And there really isn't a pattern between the type of corporations that A, had cancelled and B, no longer canceling. But we're measuring and monitoring attrition levels on a daily basis, we are measuring and monitoring leads on a daily basis and I will say that we are feeling a little more confident over the last two to three weeks because of the amount of leads that we are finding and just anecdotal discussions that we are having with the meeting planners. But we are seeing a lot more business circuits from government, believe it or not. And of course the pharmaceutical business is constantly, pretty resilient. But I think I will leave it at that, because what we don't want to do is probably describe our sales strategy for our competitors to copy us.
David Kloeppel: Kevin, just to add a little bit of color just in terms of what the numbers tell us specifically, as we describe or seeing more stabilization. If you look at our bookings we went from in January down in the 70% to 80% range on a gross basis to by the time we have in March compared to last year, they were flat. So we saw a significant kind of improvement in the likelihood of meeting planners to begin to book. So that's the actual contracted room nights and then Colin referenced to lease, as we talked about. We track those lead volumes that comes into the sales force for them to process and we've seen lead volume continue to kind of steadily increase over of the last few weeks.
Kevin Milota - JP Morgan Securities, Inc: Okay I appreciate the details.
Operator: Your next question is from the line of Bill Crow with Raymond James.
Bill Crow - Raymond James & Assoc.: Good morning guys, couple of questions on the cancellation of attrition of these. Colin, can you give us and idea of what percent you collected relative to the contractual amounts that you could have collected.
Colin Reed: Well, I don't have that, and I think it is, but I will say it’s certainly over 50%, well north of 50%. And Bill one of the things, I've referenced in my part, was I said that we haven't collected, we only book fees when we collect them. So what you heard us reference was the actual fees that we collected in the first quarter, we probably got another $4 million of fees that we are in negotiations on from the first quarter and the last quarter of last year. But that hopefully we will collect, but in terms of the actual percentage conversion, it’s pretty high and we expect it to remain high. I don't have and I am counting on this because I don't have the actual percentage and I don't want to throw out the full percentage here, so we'll look at that and we'll get back to you on that Bill.
Bill Crow - Raymond James & Assoc.: Sure, the 30% or 40% or whatever the number is that you don't collect on a contractual basis, that would be through negotiations, companies have gone bankrupt, they've rebooked, whatever that, is that the way to interpret that?
Colin Reed: Yes you are right. These two or three baskets you got to think about -- there will be a company or the association that were out of business. We've only seen a couple of those, and one of those was we referenced last year that was the home interior company that we had, got into with. The second basket, it is the company that we have done a deal with to book another piece of business in short order. And some of these companies we do that way, because they are long term standing organizations that have done business with us and we work with them. And then the third part of those would say, I am canceling, I am not rebooking, I'm not out of business and we go after them. I mean, we are after them we sit and we say you owe us the money and we negotiate it. And we have a very high level of collection on those folks because we have a very good contract.
Bill Crow - Raymond James & Assoc.: Did you provide an update on the expected cancellation attrition fees, collected, recognized in 2009, I think the old guidance was $12 million?
Colin Reed: Yes Bill we didn't, we didn't update that number in the guidance. We had, you are right, on the February call we had described that we thought that the '09 number would be the same as the '08 which was $12 million.
Bill Crow - Raymond James & Assoc.: Now you are at 76 for the first quarter, how should we think about that impacting your results for the balance of the year?
David Kloeppel: Yeah I mean I think we would expect that we will collect more than the $12 million we had previously guided, probably closer to the $14 million range.
Colin Reed: The hard thing about that question Bill is the, our clients dissection, the state of the economy and how long this thing is going to lost. I mean they are almost certainly companies that come in second quarter, that have had a very bad first quarter, very bad second quarter. They are saying we got to cut our cost for the rest of this year, we got to do that, we got to do that and may cancel with us in the third quarter or the fourth quarter. And it’s impossible for us to sit here today and predict our clients individual decision making around that and it’s hard to understand what this economy is going to do for the rest of this year. And if we could do that we won't be doing what we are doing here. But the fact and matter is, we've collected a lot of attrition and cancellation fees. And we've seen our attrition rates grow over the quarter that, frankly, it surprised us that they grew into the 16% from the 12% to 14%. We believe that's now stabilized. But if that continues to grow, and we don't believe it will, but if it does, than our collections of attrition fees are going to be greater. But, I think, the way Dave answered it, 12 million to 14 million, sort of, as we see it today, seems reasonable if these cancellations continue to slow and our attrition rates stabilize.
Bill Crow - Raymond James & Assoc.: I appreciate that. We will certainly trust you on that guidance, is there any reason to believe that second quarter would be that much better than the, in other words the fee collection would be that much better in the first quarter than the second quarter, it seems like that $7.5 million might not be a bad run-rate for the second quarter.
Colin Reed: No. But you probably should expect it to be a little bit less for the second quarter than the first. And that's because, when we, the first quarter, the cancellation collection numbers, it was unusually high, because the cancellations were unusually high. For March as an example, we had 12 points of occupancy that cancelled across the brand and we don't have that kind of cancellation activity that we’ve heard about and usually by now, we would have heard about cancellations for the second quarter. We should expect to come down somewhat.
Bill Crow - Raymond James & Assoc.: Okay. Thank you guys.
Colin Reed: Okay. Thanks.
Operator: Your next question is from the line of Steve Kent with Goldman Sachs.
Steve Kent - Goldman Sachs: Yeah. Hi, Good morning. Colin, can you just tell us what percentage of rooms are actually booked for 2009 as you stand right now? And then secondarily, can you just tell us if you'd actually seen a decline in the number of meeting planners meaning the number of people that you actually can call on, have they moved on?
Colin Reed:  You really mean like moved on what?
Steve Kent - Goldman Sachs: What I mean is that it seems to me like that if your corporation and you are not really planning on doing many meetings that there may not be many meeting planners out there to really talk to anymore.
Colin Reed: I see what you mean. No, but what is happening is very interesting. Let's see, I will try and deal with the last question first in sort of global way. What is interesting is so many of the -- lot of corporations are actually outsourcing their meeting plan, had outsourced their meeting planning or are in the process of outsourcing their meeting planning business to the inter-mediators, to the people that are the professional independent meeting planning companies, companies like [Helm, Frisco Company] experienced these business is growing like no tomorrow. I think the [Helm, Frisco Company] based out of Phoenix now has 1000 agents, dealing with clients all across the country. So you are seeing the intermediary business grow. But I can tell you from the meetings I had last two weeks ago in Washington with a huge amount of – a lot of big clients both direct clients, clients that are representing directly the corporation or the association or the intermediaries. I don't see a material change in the way meetings will be conducted prospectively. It’s just that folk are sitting on the sidelines at the stage and are not wishing to commit buckets of dollars through the meetings business in the way they were last year because of this economic overhang, but I don't see the meeting planning business or meeting planners that work for associations directly or corporations directly changing in numbers. In terms of your first question, I've lost track with what that first question was?
Steve Kent - Goldman Sachs: I just wanted to know what percentage of your rooms are booked today for the balance of 2009?
Colin Reed: Yeah we are going to have to get back to you on that. We went into the year with about 7 points less on the books this year than with the cancellations that we took in November, December. We went into the year with about 7 points less but we'll get back to you on precisely where we stand today. David or Mark will get back to you in the next half day.
Steve Kent - Goldman Sachs: Anyways thanks you very much.
Steve Kent - Goldman Sachs: It's substantial.
Steve Kent - Goldman Sachs: Okay thanks.
Operator: The next question is from the line of Nap Overton with Morgan Keegan.
Colin Reed: We're going to have this as the last question because we're running out of here Dave and I have unfortunately have meetings to go to and but we'll take Nap’s question and then say folks can get to us directly.
Nap Overton - Morgan Keegan and Company, Inc: Okay well the first part of my question was just asked and do you have a target for the level of group bookings going into 2010 that you would like to have on the books at January 1, 2010?
Colin Reed: Well, yeah we would like that to be across our brand in the 50% to 55% in this environment. We would like it to be at that level.
Nap Overton - Morgan Keegan and Company, Inc: As compared to your 60% historical average, correct.
Colin Reed: Yes, exactly 60 points gets us with that transient strategy, gets us pushing 80 points of occupancy as brand.
Nap Overton - Morgan Keegan and Company, Inc: All right.
Colin Reed: We are going to operate under 70 this year, last year on the same-store basis mark will give us 73, 74. And so we want to be going in the 52, 53, 55% group business as we move into 2010 next year,
Nap Overton - Morgan Keegan and Company, Inc: And you started this year about 53.
Colin Reed: Yeah was around that Nap, it was, it was 51 this year.
Nap Overton - Morgan Keegan and Company, Inc: 51.
Colin Reed: And that was heavily impacted by those fourth quarter cancellations that we got.
Nap Overton - Morgan Keegan and Company, Inc: Okay, all right. Last thing nobody has asked equity raise questions, so just to ask that what might draw you to be interested in raising a substantial amount of equity as a number of real estate intensive companies have down over the past month.
Colin Reed: You don't expect us to answer that question Nap?
Nap Overton - Morgan Keegan and Company, Inc: Well no but, I have to give it a try.
Colin Reed: All right well good try. All right any other question there.
Operator: No.
Colin Reed: All right, well operator thank you. And thanks to everybody for taking the time to be on our call today. And if any of you have any additional follow-up questions, call either David, Mark Fioravanti, or me and we will diligently try and answer your questions. We will get back to the folks that asked questions that we couldn't answer on the phone. So again thank you everyone and have a decent day. Thank you very much.
Operator: Thank you all for participating in today's Gaylord Entertainment Company's first quarter 2009 earnings conference call. You may now disconnect.